Operator: Good day and thank you for standing by. Welcome to the Carriage Services Fourth Quarter and Full Year 2022 Earnings Webcast. At this time all participants are in a listen-only mode. After the speakers' presentation, there will be a question-and-answer session. [Operator Instructions] Please be advised that today's conference is being recorded. I would now like to hand the conference over to your speaker today, Steve Metzger, Executive Vice President, Chief Administrative Officer and General Counsel. Please go ahead.
Steve Metzger: Thank you, Catherine. Good morning everyone and thank you for joining us to discuss our fourth quarter and year end results for 2022. On the call with me this morning is Carlos Quezada, our President and Chief Operating Officer; Mel is currently recovering from knee surgery and will not be joining us on today's call. On the Carriage Services website, you can find our earnings press release, which was issued yesterday after the market closed. Our press release is intended to supplement our remarks this morning and include supplemental financial information, including the reconciliation of differences between GAAP and non-GAAP financial measures. Today's call will begin with formal remarks from Carlos and me and will be followed by a question-and-answer period. Before we begin, I'd like to remind everyone that during this call, we'll make some forward-looking statements, including comments about our business and plans as well as 2023 guidance. Forward-looking statements inherently involve risks and uncertainties and only reflect our view as of today. These risks and uncertainties include but are not limited to factors identified in our earnings release as well as in our SEC filings, all of which can be found on our website. Thank you all for joining us this morning, and now I'd like to turn the call over to Carlos.
Carlos Quezada: Thank you, Steve. Good morning everyone. We're excited to present our solid financial results for the fourth quarter and full year of 2022 and our 2023 outlook. Our team continues to execute our top line growth strategy through market share gains while delivering unique customer experiences in improving our bottom line performance. But before we dive into the numbers, I would like to extend my sincere gratitude to everyone at Carriage. Your work is a testament to the fact that even in death we can show love and compassion to those who have passed away. Your dedication and commitment serve us a reminder that life is ephemeral, but love and kindness are eternal. Thank you for unwavering support. Today I will share our fourth quarter and full year performance and a brief update on our digital transformation journey. Then Steve will provide an update on acquisitions, financial performance and our 2023 outlook. Before getting into the numbers, as you may have noticed, earnings release format is different from previous releases. Over the past year, we have carefully considered the feedback from investors and analysts. As a result, we have redesigned our format to share the Carriage success story in a concise and more traditional manner. We hope you find it informative and insightful. Now to the results. The fourth quarter exceeded our internal expectations, especially after we held back on providing an outlook in Q3 2022 due to uncertainty regarding the post-pandemic death rate and its normalization. Our total revenue for the quarter of 2022 was $93.9 million, which represents a decrease of 2.1% from the previous year. For the full year, our total revenue reached $370.2 million, representing a decrease of only 1.5% after a high comparison driven by the peak impact from COVID related deaths. To put the impact of COVID into perspective for the fourth quarter of 2022 we had 1.9% COVID contracts against 13.4% last year. That is an 11% – 11.5% less contract than in Q4 2022, and our revenue only decreased 0.1% [ph]. And for the full year 2022, we had 4.6% COVID related contracts compared to 11.8% in 2021. That is [indiscernible] fewer contracts. So at more perspective, our total revenue increased by $96.1 million compared to pre-pandemic levels, representing 10.5% compounded annual growth rates since 2019. Our net income for the year was $41.4 million, representing a 24.8% increase over the prior year, and a compounded annual growth rate of 41.7% from our 2019 base year. Adjusted diluted EPS for the fourth quarter ended at $0.64 with a decrease of $0.14 per share compared to the previous year. And for the full year, our adjusted diluted EPS was $2.61, representing a decrease of $0.41 per share. However, we're proud to note that this number represents an increase of $1.35 per share on an annual compounded growth rate basis of 27.8% over the $1.25 of our pre-pandemic baseline of 2019. Regarding our funeral home segment, we ended the fourth quarter with 11,811 funeral contracts, representing a slight decrease of 5% or 622 contracts. However, we're pleased to report that our funeral operating revenue was $64 million with a slight decrease of 1.4% or 2.1%. Our funeral team has worked hard to improve the sales average, which was up by $158 per contract over the prior year. This led to a smaller variance in funeral operating revenue against a high comparable COVID impact at fourth quarter of 2022. On the preneed funeral side, I am pleased to report that we have been actively engaged in redefining our preneed funeral strategy over the past year. Our objective is to streamline our operations and shift away from a previous approach of having multiple agreements with various insurance providers and marketers, so instead focus on a single provider and one to three marketers with a national presence. We're committed to working diligently to identify the most suitable partnership for our organization, and we're optimistic about the positive impact this new plan will bring. After carefully evaluating various potential partners, we're confident that there is a significant potential for growth in preneed funeral with projections indicating 30% to 40% increase in insurance sales within the first year of launching this new strategy. As we continue to finalize all the necessary details, we're targeting the second quarter of this year for the launch. We're confident that our new preneed funeral approach will prove to be a resounding success and help us better serve our client families in a more efficient and effective manner while growing our preneed funeral backlog. Now moving to cemetery operating revenue, we're delighted to report that we ended the fourth quarter with $23.2 million of revenue representing an increase of 708,000, or 3.2%. Our cemeteries continue to be an area of great opportunity for Carriage. We're focused on building our sales organization and continue to see upside being realized through the successful integration of our recent acquisitions. Our ongoing investment in new cemetery inventory will add to our value creation strategy in 2023 as many of these new cemetery projects are in near completion. As mentioned in our release from yesterday, we expect preneed cemetery sales to grow above 2022 levels by low double digits while continually building up and developing our sales leadership team. Since launching our high performance sales strategy in 2019, cemetery operating revenue has grown by an impressive 22.2% compounded annual growth rate. We're excited by the potential of our cemetery segment and are confident in our ability to deliver continued growth, particularly as we continue to add premier cemeteries in large growing markets through our acquisition strategy. Now, let me give you an update on our digital transformation journey. The investment we have made in our new IRPs customer facing platform known as Trinity is a strategic move that positions Carriage for exponential growth, continuous innovation and scalability, a unique approach in the death care industry. Trinity will be designed to deliver cutting edge technology that focuses on the three core pillars of our service goals: families, managing partners and support staff. Through Trinity, we can curate personalized family experiences through online engagement while offering additional revenue opportunities. Furthermore, leveraging our partnership with Funeral 365 in markets of assured cloud will enable us to maintain an half edge for the foreseeable future when it comes to technology. The investment in Trinity will provide several benefits for organization, including increased efficiency in finance, accounting and operational functions, and automation of manual and paper driven processes that will transform how we engage with families. This will decrease risk while delivering an elevated customer experiences for the families that we serve. Our operation partners will also have greater resources to provide inventory visibility and staff scheduling among many others. Additionally, increased data analytics will empower our decision making process. It will also ensure that personal information remains compliant with how security and privacy controls, providing increased protection to our client families. Finally, I would like to share a theme for 2023 and 2024. At Carriage, we leave anything is possible if we push ourselves beyond our limits and strive for excellence every single day. This is the definition of our mission and vision of being the best. At the same time, possibilities are the fuel that drives progress in the foundation of high performance, but to truly unleash the power of possibilities, we must combine it with high performance mindset. Therefore, our 2023 theme of creating high performance possibilities is about turning these opportunities into reality. It means taking action to achieve our goals and pushing beyond our limits to move from good to great. High performance is the art of pursuing excellence in everything we do. It is about setting high standards, challenging ourselves to being the best we can be and embracing continuous improvement. At Carriage, we're committed to creating a high performance culture company full of possibilities, and by setting ambitious goals, embracing creativity, innovation and pushing ourselves to achieve things we have never achieved we can create a culture where anything is possible. In closing, we’re pleased with our 2022 financial results, which is our testament to our team’s hard work and dedication. We remain committed to our growth strategy and providing the highest customer experience while creating sustainable shareholder value by creating high performance possibilities in the years to come. Now, I’ll pass the call to Steve.
Steve Metzger: Thanks, Carlos. I’ll begin my comments this morning by discussing our free cash flow for both the quarter and the full year, as well as provide a brief overview of our capital investments for those same periods. I’ll then provide an update on our M&A activity before discussing our full year trust fund performance. And finally, I’ll wrap up my remarks by providing an overview of our 2023 outlook. During the quarter, we generated $8.9 million of adjusted free cash flow, a decrease of 13.6% as compared to our 2021 fourth quarter. This quarter-over-quarter decrease was primarily driven by higher interest payments and lower adjusted consolidated EBITDA. For the full year of 2022, we generated $49.8 million of adjusted free cash flow, a decrease of 34.2% versus 2021. Again, 2021 served as a high watermark comparable for us due to the COVID related impact, which is driving the year-over-year decrease in cash flow. We also paid approximately $8 million more in 2022 for incentive compensation that was earned for that peak 2021 performance. This number includes roughly $2 million for our Good To Great incentive award that will not be repeated in 2023. During the fourth quarter. We also invested approximately $5.7 million back into our businesses through both maintenance and growth CapEx was roughly 42% of that total investment allocated to cemetery development projects. While we invested approximately 60% less in maintenance and growth CapEx for the fourth quarter 2022 as compared to the fourth quarter of 2021, our year-over-year capital investments increased by roughly $1.2 million to a total of approximately $26 million for the year. That year-over-year increase was primarily driven by investments in our cemetery development projects as we continue to focus on providing new high margin inventory to our recently acquired cemeteries. As we look ahead, we expect our capital investments to decrease this year when compared to both 2021 and 2022 in alignment with achieving our leverage ratio target. As it relates to our growth through acquisition activity, we mentioned on our last call that we’d entered into a definitive agreement to acquire Greenlawn Funeral Homes and Cemeteries in Bakersfield, California, and we expect to close that transaction subject to regulatory approval within the next couple of weeks. Greenlawn builds upon our growth strategy of acquiring larger businesses and growing markets. While we tend to do fewer transactions than some of our peers on an annual basis, our transactions tend to involve larger businesses with significant call volume and revenue. To provide some context to our growth strategy, you can simply look at the last three and a half years, a time period during which we’ve added approximately $80 million in additional revenue through acquisition. Split almost evenly between our Funeral Home and Cemetery segments. So the businesses we’ve acquired in just the last three and a half years will account for more than 20% of the midpoint of our 2023 guidance for total revenue, and we’ve done all of that while reducing our share count. As we’ve said many times before, we don’t believe in the strategy of growing simply for the sake of getting bigger. Rather, we focus on finding premier businesses that have the greatest growth potential located in strategic markets, and while it’s difficult to predict when those businesses will be available, it’s this selective approach that we will continue to propel our high quality growth over the long-term. As it relates to our trust funds, while the markets ended 2022 on a negative note, as concerns about inflation, higher interest rates and the risk of a recession drove volatility throughout the year. The performance of our discretionary trust portfolio outperformed the major indices and finished the year with a positive return of 0.6% as compared to the S&P 500, which was down 18.1% for the year. And to remind everyone, our portfolio has allocated roughly 46% fixed income, 43% equities, and 11% cash, which makes that full year positive return even more impressive, contributing to more than $22 million in financial revenue for the year. This outperformance was driven by our equity portfolio, which largely consists of companies that generate solid free cash flow and reward investors with high and sustainable dividends. Since the beginning of 2020, we’ve realized approximately $46.5 million in long-term capital gains, including roughly $13 million in 2022. Our portfolio is producing approximately $10.2 million in recurring annual income at the beginning of 2020. As of the end of 2022, we’ve more than doubled recurring annual income to roughly $20.8 million. There’s been a lot of good work by Mel and the team to reach this point, and we believe that the portfolio is well positioned to continue generating solid capital gains and strong recurring annual income in the year ahead. As Carlos mentioned earlier, we’ve spent a lot of time listening to feedback from our shareholders and rethinking the way we tell our story and how we message our results. As part of that focus on continuous improvement, we’ve not only updated the manner in which we present our earnings, but we’ve also decided to begin providing full year guidance at the beginning of each year. We’ll update that guidance if necessary on a quarterly basis. For 2023, we’re forecasting total revenue in the range of $375 million to $385 million, which would be a high point in the company’s nearly 32 year history. We’re also projecting year-over-year growth in adjusted consolidated EBITDA in the range of $110 million to $115 million. We expect to generate free cash flow in the range of $50 million to $60 million this year, and adjusted earnings per share of between $2.25 to $2.40. While our projected adjusted EPS for 2023 represents an impressive increase of more than 85% as compared to our pre-COVID benchmark in 2019, we’re forecasting a decrease from last year driven primarily by increased interest payments of approximately $7 million. The increase in these interest payments is due to a combination of higher rates and higher debt balances, and represents roughly $0.32 per share of earnings. Our leverage ratio and increased interest expense will hit a peak when we close the Greenlawn transaction in a couple of weeks, and then both will steadily trend downward as we focus our capital allocation efforts this year on paying down our debt. Consistent with our high performance and credit profile restoration plan outlined in our December 12th release, we expect to finish 2023 with leverage of around 4.7 times net debt-to-EBITDA. We’ll then continue our focus on debt reduction next year, maintaining our target of finishing 2024 with a leverage range of 4 times to 4.3 times. With regard to how we see the year unfolding, we expect Q1 to be the last challenging COVID impacted comparable as this period in 2021 continue to be significantly impacted by COVID-related debts. Following Q1, we expect more normalized comps throughout the rest of the year. Looking ahead, there are three key areas of focus that we want to highlight for our shareholders. The first is paying down our debt. As we’ve demonstrated in the past, when we commit to aggressively paying down our debt, we’re able to delever quickly, and that’s our plan for 2023. The second is to continue our focus on integration and realizing the potential within our recent acquisitions. We’ve invested close to a $0.25 billion in acquisitions in just the last four years. Internally, we’re focused on all the opportunities within these acquisitions as there have been significant investments made for future growth by prior owners that we’re currently in the process of developing. Also, as highlighted by Carlos earlier, we continue to have strong growth opportunities through our cemetery sales and preneed efforts to drive continued growth of the nearly $40 million in cemetery revenue that we’ve added since 2019. The third area is our focus on organic growth, driven by new tools being offered to our businesses, ranging from service and guest experience investments, enhanced marketing efforts, and continued investment in technology as an accelerator for our growth. The focus on earning every call and winning market share is discussed on a daily basis throughout our businesses, and we’ll continue to make sure our teams across the country have the best resources to achieve these goals. As you can probably tell, we’re excited about our 2022 performance and the opportunities we have in front of us this year, as we continue to position the company for sustainable long-term growth. Finally, to wrap up our prepared remarks, what I’d like to believe everyone enjoys when I talk about cash flows, capital investments, and full year guidance, I am pleased to provide an update that we’ve made some good progress with our CFO search, and hope to have more to report in the coming weeks. Mel, Carlos and I have dedicated a lot of time to this search and have met with a number of great candidates. While they all have impressive backgrounds, we’ve been laser focused on finding someone who can truly partner with the leadership team to execute on all the things we’ve discussed this morning. One of those key areas is how we tell our story. We know that Carriage has a compelling story driven by one of the highest quality collection of businesses in the industry, first-class leaders, a nearly 32-year history and a well paved runway for significant growth in the future. We like to say that despite the strength of the company today, we still don’t believe we’ve hit our growth spurt, and that’s what we’re building towards each day. While our story is an intriguing one, we’re hard at work to make sure our storytelling is equally compelling. That storytelling component involves everything from how we present our earnings setting expectations with full year guidance, and focusing on the important stuff, those key drivers that are most important to our investors. As we welcome a new CFO to the team, rest assured that it will be someone who can help lead that focus and help drive the commitments we’ve laid out in both our high performance and credit profile restoration plan and on our call this morning. And with that, we’ll open it up for questions.
Operator: Thank you. [Operator Instructions] Our first question comes from Liam Burke with B. Riley. Your line is open.
Liam Burke: Thank you. Good morning.
Carlos Quezada: Good morning, Liam.
Liam Burke: Carlos, could you give us some sense as to the progress you’re making on the direct cemetery sales team and where that stands and where you’d like it to be?
Carlos Quezada: Absolutely. Happy to do that, Liam. So as you know, we’ll launch our CRM for the first time at Carriage. Around February, 2022, we call that sales edge. That tool took a little bit of time to adapt. But right now is fully adopted by the whole sales organization. And from that, now we’re being able to actually get some interesting metrics as it relates to activity and the type of activity that actually driving closing ratios and sales. And so we’re very fed about that side. Also, throughout the year, we have worked in developing the sales leadership from a skillset perspective and that includes the counselors. But also growing as much as we can our sales force. We have also focused on making sure that we have all the right host sales [ph] leadership in the right seats in each one of our cemeteries that will continue to drive through technology and lead generation activities on a day-to-day basis, our strategy for high performance growth on our cemeteries. And so I do feel pretty good. I say before, I still believe we’re somewhere around 70% of optimization where we should be as it relates to cemeteries. But we’ll continue to do more and more. I feel very positive about 2023 more than anything because all the groundwork we have put as a foundation over the past year. But also because to back that up, we have invested a significant amount of dollars into cemetery inventory. And we’ll continue to do that to provide enhanced inventory options to the families that we serve, and to give those different tools to the different cemeteries and their leadership as they continue to present to families.
Liam Burke: If I looked at your results year-over-year, they were obviously down. But on a sequential basis, you made a significant step up in both cemetery and funeral home. Are you comfortable you can continue that momentum now that you have everything in place?
Carlos Quezada: We do. We are committing to low double digit growth. We need cemetery sales, property sales that is. We believe that some of the hurdles we have to hit throughout 2022 had to do with the adoption of our sales edge platform, our CRM. But also, working on making sure we had everybody in place. We have made some changes from a sale leadership perspective in some cemeteries. And we have probably two more that are going to be joining Carriage in really premium cemeteries coming up pretty soon. And once that happens, we’re going to be 100% aligned with our goals and being able to really capitalize on our opportunity, which is significant.
Liam Burke: Great. Thank you very much.
Operator: One moment. Our next question comes from Alex Paris with Barrington Research. Your line is open.
Alex Paris: Hi, guys. Congrats on the better than expected finish to 2022. I wanted to dive a little bit more into Q4 by month if possible. On the last conference call, the Q3 conference call, you talked about the sudden and dramatic decline in same store funeral volumes in revenue in September. When you did that mid-quarter update in December, you said that things had or you noted a material improvement. I suspect in October and November. Just wonder if we can get a little bit more color on that? And did that continue into December and January same store funeral volumes? Yes.
Carlos Quezada: Yes. So as we mentioned before, we had a huge comparable in Q4 2022. And we were skeptic at the end of Q3 because of that significant drop, more specifically in the month of September. Reason why we didn’t want to put out there an outlook for the remaining of the year. And so as October, November and then December started to show up, we were very optimistic about the volumes, especially as you compare the COVID impact that I mentioned earlier. When you have such a swing between, Q4 2021 from COVID impact debt contracts versus this year, we’re able to not only made up significant amount, but only have a total drop on funeral contracts. So 5% and that makes us very, very happy because it was just a very, very big comparable month. And I think that’s true throughout the industry.
Alex Paris: Great. I appreciate that. And then thanks for the 2023 guidance which in keeping with the better than expected fourth quarter results is generally above my estimates and consensus. Now embedded within that guidance is your stated confidence that you can continue driving organic growth plus the contribution of acquisitions and then taking a proactive – taking proactive measures with regard to inflation – inflationary cost pressures, what do you do in there specifically with regard to inflation and offsetting?
Carlos Quezada: So we continue to monitor that on a month-to-month basis. We have created something that we call cost to operate, which is basically a little financial statement with all the controllables at the managing partner levels, which business have their own set of metrics that are being tracked on a month-to-month basis to make sure that we have visibility to any minor changes that need to be made. That approach is allowing us to have really great conversations to our managing partners who know better about their business or communities and their clientele than we do here from the home office. But those conversations may lead to some decisions as it relates to pricing or expenses that are going up that need to be offset, through either more market share gains or other revenue opportunities. And so we do feel pretty confident prepared as we move forward for 2023 that we will not have surprises because we’re tracking that on a month-to-month basis, business by business.
Alex Paris: Got you. That’s helpful. And then I guess the last question from me for now is your 2024 goals, now that you’ve put out 2023 guidance. Do you have any changes to communicate on your 2024 goals, which you also provided in mid-December?
Carlos Quezada: Yes, we remain committed to our goals that we put out there for a High Performance and Credit Profile Restoration Plan. We do believe that our goals on 2023 are very close as the midpoint of where 2024 will be at the end of the year. And so we remain committed to that goal and to achieve those metrics.
Alex Paris: Got you. So the midpoint of 2023 guidance for revenue is 380 million. The midpoint for those 2024 goals would be 395 million. And it kind of goes down relatively comfortable with those numbers that you had put out in December I’m just confirming.
Carlos Quezada: Well, yes, because I mean there will be still some smaller impact. I mean, we mentioned that we had 1.9% of COVID-related debts in December, well, not December, Q4 2022. So it’ll be some impact in Q1, which is a huge comparable by the way. This will be the last really tough comparable for – from a COVID impact perspective. But we feel confident we’ll be able to make that up throughout the remaining of the year. But as we move to 2024, we do expect a more normalized, systemized [ph] traditional year. And so we don’t want to be too aggressive on the forecast going out two years. We do want to be conservative to where we believe our integration of acquisitions will lead us and our internal organic growth may be able to allow us to get there. And we’ll adjust as we continue to go throughout 2023 quarter-by-quarter will adjust when we need to and give an update on our expectations.
Alex Paris: Great. Very helpful. Thank you all and congratulations and keep up the good work.
Carlos Quezada: Thank you very much.
Operator: Thank you. Our next question comes from George Kelly with Roth. Your line is open.
George Kelly: Hey everybody. Thanks for taking my question. So first one for you, is on your plans regarding some of these tech initiatives. Carlos, I think you went through it. I was on and off during your prepared remarks. So I may have missed part of it. But I think you laid out the major initiatives for this year. And then I remember you mentioning that they should drive additional revenue opportunities. So just curious if you could be more specific about that?
Carlos Quezada: Yes. So Trinity is replacing our current contract management system, which is called [indiscernible], which is all technology. This is a very significant system change for Carriage that will replace completely how we operate. Within that change, we will be able to then provide tremendous amount of efficiencies. I mentioned a little bit of this in the past, but for example, Trinity will enable to deliver, elevated customer experiences only because everything will be seamless through the computer in the screen, in the arrangement conference contract will be painted right there. Selections will be done right there. And so the conversation will generate an easier way to show families all of their options without having to walk away from the arrangement conference room. Typically we have noticed that that type of approach, because we have a couple of business doing that as we speak, as pilot, not with Trinity, but other systems. And the result is an increase of average just because families are able to now see all of what’s possible as it relates to the acceleration of life of their loved one. Additionally, we will have some opportunities to have more revenue just because the capacity of Trinity. The type of product we’re putting in will have integrations. If integrations as it relates to upgrading flowers or other items are typically are more difficult to sell, whether it’s online to our business websites or right there at the funeral home. And so we do really, very, very optimistic about what Trinity could do. Additionally, all the forecasts we have done this year does include all of the investment. So the forecast that you see or outlook for 2023 does have the investment for Trinity as laid out. It is a two year, well, two and a half year investment, but the 2023 component of it is already baked in into our outlook. Just to put things in perspective is really not a huge investment. It represents for 2023, it is about $2.5 million, which represents around 70 basis points, as a percentage of revenue for our forecast for 2023. However, the benefits coming from Trinity are a little bit difficult to quantify as we speak because efficiencies, just from a labor perspective, being able to have an immediate and real time numbers being able to process from an accounting perspective reconciliations of contracts. Right now we do manual contracts for cemetery, all of that now we’ve moved to a digital form. And so as we continue to move forward to the programming and creation of Trinity and run the pilot around November of this year, then we should be able to have a little bit more, specific numbers as it relates to the economic benefits that will come from, from this investment.
George Kelly: Okay, excellent. That’s good background, thank you. And then two other quick kind of modeling related questions. So your fiscal year 2023 revenue guidance I was curious if you could break it down at all by kind of, what’s the organic growth assumption within that and how else did you get comfortable building, as far as volume and pricing, like any other kind of key assumptions that that helped drive that number?
Carlos Quezada: What we expect to see is a decrease mainly on our same store portfolio just for Q1 2023, and then being able on a normalized basis from a death rate perspective, being able to then make up some of the, those Q1 numbers, because then we’re really, after the race has been able to compete to ourselves at the field level business by business. Our acquisition portfolio continues to integrate really, really well. And we don’t expect huge drops on Q1 from that point of view, but as we continue throughout the year, we do see some gains from a market share perspective on both same store and acquisition, low-to-middle single digits. That’s kind of like where we’re looking at. That’s the expectation that we put out on our, managing partners, 1% to 3%. And that’s really where we believe we will be at the end of the day.
George Kelly: Okay, great. And last one for me is on CapEx. I think I heard on the call that it’s going to step down this year below where you were the last couple years. Can you quantify that and how long I understand debt pay downs are real priority, so kind of how long, can you maintain CapEx at whatever level it’ll be this year?
Carlos Quezada: So our target for CapEx this year is $20 million, roughly around half to, growth CapEx and half to maintenance CapEx. We want to be very disciplined about that, even though we did spend $26 million last year, Steve talked about your capital location and discipline focused towards paying down our debt. We believe that the best return investment right now is to really decrease our leverage, and significantly decrease interest expense. And so we believe that we are consistent to those expectations. We will not slow down our cemetery sale because most of that investment will go down to inventory development. But also we will be able to keep up to the needs of our funeral businesses to continue to provide an excellent experience with the families in each one of those businesses.
George Kelly: Thank you.
Carlos Quezada: Thank you, Richard.
Operator: Thank you. [Operator Instructions] Our next question comes from Robert Longnecker with Jovetree. Your line is open.
Robert Longnecker: Hi, good morning. Can you guys talk more about this, the new change in the preneed approach and what that might mean in terms of pricing and other kind of, I guess I would call it neighborhood or community relations?
Carlos Quezada: Sure, absolutely. So preneed funeral has never really been a huge focus on Carriage, and it’s not like we want to make it a focus, however, but reorganizing some tiny little tweaks here and there. We believe we can really capitalize on significant opportunity. As I mentioned on my remarks the way we have it structured right now, we have multiple insurance providers with multiple marketers, and that makes it a little bit difficult to be able to then create a strategy nationwide strategy that, that is accretive to our preneed funeral expectations from an insurance sales perspective. And so by being able to partner with one insurance provider, the immediate benefit is that we get a better commissions, right? As a company, we expect to get a higher rate on commission or bonus, as some of them call them, but also being able to then have a little bit more control over what type of product insurance product is being offered to the customer. So, insurance products work in different ways. Sometimes, maybe the commission to the customer is significantly higher than the growth of the policy over time, which is where we, don’t like it. Because if you’re selling at a price today and you don’t have any growth in that policy, over time, you’re really selling your future at a discount price. And so we’re trying to have a little bit control over that, but also by being able to partner with one insurance company and maybe two – one to three marketers, we will be able to increase strategy that shows year-over-year growth from a prearrange funeral perspective. And based on our estimates, we do believe that opportunity is somewhere around 30% to 40% within one year of launch of the program. And immediate gains from recognized revenue perspective coming from those commissions from the insurance companies.
Robert Longnecker: Okay, I got it. That makes sense. Thank you. And then I understand the desire to streamline your financials, but I’m surprised to see that you’re not reporting same-store numbers. Obviously your biggest peer does that, I think that’s going to be particularly important in the next year or so is you guys integrate these pretty big M&A deals. So can you talk about why you wouldn’t be reporting same-store numbers like you have in the past?
Carlos Quezada: Yes, absolutely. So, internally and externally before this release, we have tracked same-store separated from acquisition, acquisition on a five-year basis, right? We keep it on the books for five years and after five years, then moving to same-store. We thought that was from a comparable basis with other public companies, a little bit unfair because, when other companies keep it for a year, when you keep it for five years and you have tremendous growth and acquisitions and not the same level of growth in the same-store, it may not be a fair comparison. And so when we decided to then move acquisitions to a one year comparison, however, because all of the businesses that we acquire or most of the businesses will acquire were in at the end of 2019, at beginning of 2020, all of those we would move to same-store. In our acquisition for this year would only be, San Juan and Heritage in, the recent acquisition we just did in October – September. And so it was so minimal that didn’t really make much sense to put it out there. We are happy to provide those numbers, but that’s really the main driver of why we did that.
Robert Longnecker: Is it going to be minimal going forward given you guys are about to close several large transactions?
Carlos Quezada: Well, once we get Greenlawn, our Bakersfield acquisition, we will pretty soon we can evaluate and see if it makes sense, to split it up. And if it does, we will. I think that will probably be, important for all of you to see. And if that’s the case, we’ll show you that information.
Robert Longnecker: Okay. Yes, I think that’d be helpful. Thank you.
Carlos Quezada: You bet.
Operator: Thank you. And I’m showing no further questions in the queue. I’d like to turn the call back to Mr. Carlos Quezada for closing remarks.
Carlos Quezada: Thank you very much, and thank you for joining the call. We will continue to focus on execution excellence and disciplined capital allocation, and we will look forward to report our progress when we report on the first quarter of 2023. Until then, thank you for your support and we look forward to see you then.
Operator: This concludes today’s conference call. Thank you for participating. You may now disconnect.